Operator: Thank you for standing by. My name is Kathleen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q4 and Full Year 2024 Piedmont Lithium Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And now, I will turn the call back over to John Koslow, Investor Relations at Piedmont Lithium. Please go ahead.
John Koslow: Thank you, and good morning. Welcome to Piedmont Lithium's fourth quarter and full year 2024 earnings call. Joining us today from Piedmont Lithium are Keith Phillips, President and Chief Executive Officer; and Michael White, Chief Financial Officer. Keith will provide an introduction and review key updates from the quarter, and Michael will then review our financial results. Keith will provide closing commentary before we transition to a live Q&A session. As a reminder, today's discussion will contain forward looking statements related to future events and expectations that are subject to various assumptions and caveats. Factors that may cause the Company's actual results to differ materially from these statements are included in today's presentation, earnings release and in our SEC filings. In addition, we have included non-GAAP financial metrics in this presentation, and reconciliations to the most directly comparable GAAP financial measures can be found in today's earnings release and the appendix to today's slide presentation. Any references to EBITDA, I mean adjusted EBITDA, references to shipments or shipments of spodumene concentrate, and tons or dry metric tons. Copies of our earnings release and presentation in addition to a replay of this call will be available on our website at piedmontlithium.com. With that, I'll turn the call over to Keith Phillips. Keith?
Keith Phillips: Thanks, John, and thank you all for joining us today. In summary, Q4 was a good quarter for Piedmont. Operations at North American Lithium performed well with another quarter of strong production and impressive operating metrics. For Piedmont, the strong operational performance allowed us to make record deliveries in the fourth quarter. Our commercial strategy of delivering under our long-term offtakes, selectively hedging against the contango in the lithium futures market and making larger combined shipments resulted in another quarter of strong price realizations and improved profitability. On the corporate side of the business, we successfully reduced our corporate expenses as part of our 2024 cost savings plan and announced a merger with our joint venture partner at NAL, Sayona Mining. We'll cover each of these topics in more detail later in the call. Now, let's move on to Slide 4. NAL achieved another strong quarter with nearly 51,000 tons produced in Q4 2024 and over 190,000 tons produced in the full year 2024. Following the restart of production in March of 2023, operations have shown continual improvement with strong lithium recoveries and increasing mill utilization. You can see in the chart the uptick in mill utilization beginning in Q2 ‘24, a direct result of the capital invested in the crushed ore storage dome earlier in the year. Increased production has led to improved operating costs with unit costs per ton declining sequentially and a total decline of nearly 20% from the start of the year. Importantly, when excluding the impact of inventory movements, cash operating costs at NAL were $709 a ton in Q4 ‘24, the new low. Further improvement is targeted through continued process improvement and with the ultimate move through the old underground workings in the mine, which has led to temporarily elevated mining costs. In January, Sayona announced some outstanding results from the large exploration program that was undertaken at NAL in 2024, and I will speak more about the implications of these results later in the presentation. The performance validates the strategy we undertook when purchasing NAL in 2021, namely bringing a brownfield asset in a premier location back into production in an expeditious manner at a significantly lower cost than developing a greenfield project. NAL is North America's largest lithium operation and it offers direct leverage to an ultimate recovery in lithium prices. Now, let's turn to Slide 5 for an update on our development projects. There has been much focus on the energy transition following November's election as investors grapple with possible changes to domestic policy. While many have assumed the Trump administration would be a negative for the industry, we have always had a different view. On January 20, his first day in office, President Trump signed an executive order declaring a national energy emergency. Central to this EO is the reinforcement of the President's earlier commentary on the importance of domestic critical minerals production to avoid over reliance on China, and indeed, to quote the President, national energy dominance. National energy dominance cannot be achieved without domestic sources of lithium like Carolina Lithium. Our focus in North Carolina remains on advancing through the permitting process. We received our state mining permit in 2024 and a petition to challenge that permit was voluntarily withdrawn by petitioners earlier this month. We are optimistic that air and water permits will be achieved during this calendar year and we continue to assess the timeline for rezoning of our land package with the Gaston County Board of Commissioners. We will of course need their approval to proceed and we look forward to entering that process in due course. For our joint venture Ewoyaa Lithium Project, we were pleased to receive a Mine Operating Permit from the Minerals Commission of Ghana in October. The Ewoyaa’s mining lease remains subject to parliamentary ratification. This process was paused around Ghana's election in Q4, but we anticipate a positive outcome during 2025. Ratification is the final step in the approvals process, but any final investment decision will be subject to market conditions and the completion of funding. At Piedmont, we are obviously focused on developing our projects at a measured pace given current market conditions. Now, I'll turn the call over to Michael to discuss our financial results.
Michael White: Thanks, Keith, and good morning. We shipped approximately 55,700 dry metric tons for the quarter, which was a quarterly record for Piedmont and approximately 117,000 dry metric tons in 2024, also a record. For the quarter, we recognized $45.6 million in revenue compared to $27.7 million in the previous quarter. The increase in revenue was due to increased volume. Our realized price per metric ton was $818 for the quarter. On an SC6 equivalent basis, our realized price per metric ton equated to $909. We are pleased to achieve these price realizations given current market conditions and our commercial strategy led to a second consecutive quarter of industry leading price realizations. Our fourth quarter GAAP net loss was $11.1 million or a loss of $0.55 per share and adjusted net loss of $3.6 million or a loss of $0.17 on an adjusted per share basis. Included in our GAAP results were $5.5 million of transaction costs related to our proposed merger with Sayona Mining, $3.2 million in restructuring charges associated with our 2024 cost savings plan and other items including realized and unrealized gains on equity security holdings. We ended the year with $87.8 million in cash compared to $64.4 million in cash at the September 2024 and $71.7 million at the start of 2024. Now moving to Slide 8 to discuss our sources and uses of cash. Operating cash flows for the fourth quarter and full year were negative $6 million and negative $43 million respectively. Included in the full year amount were payments totaling $21 million in the first half of 2024 to settle prior year spot sales where the final price settlement in 2024 was less than the provisional payments we received in 2023. Separately, we achieved a $14 million reduction in annual run rate cost savings, which I'll detail more shortly. We're pleased to report that cash outflows for our joint ventures as well as capital expenditures were less than $1 million in the fourth quarter and favorable in terms of outperforming our guidance. I'll stress that we are laser focused on cost containment and overall cash management, especially during this lithium down cycle. For the full year, we contributed $26 million to advance our joint venture projects and $11 million in capital expenditures as compared to $43 million in joint venture spending and $57 million in capital expenditures in 2023. Contributing to the year-over-year decline in joint venture spending was the completion of restart CapEx at NAL in the first half of 2024. Overall, we planned and successfully executed our cost reduction plan leading to these significant reductions in our investing cash outflows on a year-over-year basis. As part of our proposed merger, we raised net proceeds of $25 million through the issuance of new ASX listed chest depository interest and drew an additional $7 million in borrowings from our working capital credit facility. Now let's turn to Slide 9. We introduced our 2024 cost savings plan in February 2024 with an initial target to reduce annual run rate spending by approximately $10 million. We took immediate action to control our operating expenses and reduce CapEx and joint venture spending early in the year as the lithium market retreated. These actions were difficult, but prudent as we positioned the Company for the long term. Based on prevailing market conditions, we further expanded our cost savings plan in October 2024 and achieved $14 million in total annual cost savings for the year. As a result of our cost savings plan, we recorded $10 million in restructuring and impairment charges in 2024, of which $3 million was recorded in the fourth quarter. Included in our full year restructuring and impairment charges were cash charges of $4 million primarily related to severance and employee benefit costs and non-cash charges of $6 million which includes $4 million of impairment charges related to the conversion capacity of Tennessee Lithium to Carolina Lithium and $2 million related to accelerated stock compensation as part of our reduction in workforce. We continue to maintain our cost and investment discipline in 2025 through detailed expense management. Let's move to Slide 10, where we provide our 2025 outlook for shipments, CapEx and investments in and advances to affiliates. We expect to ship 25,000 to 30,000 dry metric tons in the first quarter of 2025. This does not include tons which were sold as part of an export sale at the port in December, but shipped earlier this year. For the full year, we anticipate making shipments to customers totaling 113,000 to 130,000 dry metric tons with full year shipments including tons which were shifted to 2025 as a result of a customer request to move a shipment from the fourth quarter into 2025. As always, certain factors including shipping constraints and customer requirements may impact the timing of future shipments. For our CapEx and investments outlook, we continue to reduce our project related expenditures. We expect less than $2 million in CapEx in the first quarter and $6 million to $9 million in CapEx for the full year. Joint venture investments and advances are also expected to be less than $2 million in the first quarter and approximately $7 million to $13 million for the full year 2025. This compares to $26 million in 2024. Our outlook is subject to changes in market conditions and may vary materially. With that, I'll turn the presentation back over to Keith.
Keith Phillips: Thank you, Michael. Turning to Slide 12, I'd like to share some thoughts on the lithium market. We are pleased to report another quarter of strong price realizations against the backdrop of a soft lithium market. Our realized price of $909 on an SE6 equivalent basis once again led the industry. During the quarter, we saw a benefit from contractual lags indebted in our customer contracts in the contango and lithium futures market. While our commercial strategy has been highly successful, the narrowing contango in the forward markets and the pricing lags in our longer-term contracts means that our comparatively strong price realizations may not always be achievable on a go forward basis. As for the lithium market Slide 13 shows that end market demand for lithium continues to grow very strongly. 2024 was another record year for EV sales with approximately 17 million EVs sold globally. While demand growth in the U.S. and Europe was modest last year, the dominant Chinese market grew by 3.1 million units in 2024, the largest year-over-year growth on record and roughly equivalent to the total number of EVs sold globally in 2020. And there are new avenues of demand growth for lithium within the stationary storage market. Energy storage systems are growing rapidly to help modernize power grids, manage intermittency and power generation from renewable sources and evolve to meet growing power demand from sources like data centers. As a matter of fact, CATL, the world's leading lithium-ion battery producer is expecting ESS demand to represent 34% of total lithium demand by 2030, a massively positive outlook for our markets. I'd like to conclude this morning's call with some brief comments on our planned merger with Sayona Mining. On November, Piedmont and Sayona announced the intention to merge in an all-stock transaction with an ownership split of roughly 50-50 on a fully diluted basis. The merger brings together two complementary businesses to create a bigger, stronger, simpler company, which will be the largest current lithium producer in North America with an exciting development pipeline in the United States, Canada and Ghana. Under our current operational structure, NAL's production potential growth is limited by competing priorities between owners. Piedmont receives the benefit of its unique offtake agreement, while Sayona is the operator and majority partner. By joining forces, the combined company is positioned to evaluate expansion opportunities resulting from the depressive drill results earlier this year at North American Lithium. We take NAL as the best located lithium project in Canada and the opportunity for a brownfield expansion with possible low CapEx per ton and improvement to operating cost per ton is one of the key reasons, we are so excited about the merger. MergeCo is also able to share technical and operating experience across in a large portfolio of growth projects in Ewoyaa, Carolina Lithium and [Mobile In]. For those less familiar with [Mobile In], this is a high-grade project located in Quebec with both one of the largest spodumene resource bases in North America. The project is in the James Bay region and the 2024 definitive feasibility study demonstrated a post-tax internal rate of return of 34% for 300,000 tons per year spodumene concentrate and a low strip ratio of 2.3 to 1. On the corporate side, MergeCo expects to realize synergies of $15 million to $20 million annually through a combination of consolidated corporate functions and improved logistics. The merger secured the backing of Resource Capital Funds, the mining industry's leading private equity source, with RCF committed to funding approximately $45 million into the merged entity upon completion of the deal. This capital, on top of the financing is completed at the time of the merger announcement, will provide important capital to enable MergeCo to advance projects toward development during the current down market. Slide 16 shows the planned North American spodumene production of Piedmont and Sayona versus several pre-production peers. NAL is the largest current producer of spodumene concentrate in North America and MergeCo has the potential to maintain this leadership position as other assets are developed. Importantly, this chart is purely focused on North American peers and ignores the significant potential for production at Ewoyaa. Scale is crucial in this business. Increasing scale can make the business more relevant to customers, can reduce unit operating costs, and improve downstream optionality, all while appealing to a broader investor community. With that, we can turn the call over to Q&A. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Bill Peterson of JPMorgan. Your line is now open.
Bill Peterson: Yes. Hi, Keith and Mike, thanks for all the information. Actually, my two questions are actually more related to the industry environment. I was hoping you could touch on the potential impacts of tariffs if they do come to fruition towards Canada, how that may impact your planned shipment profile? I guess maybe that underlying there is how much is assumed for U.S. domestic refiners versus China and other regions?
Keith Phillips: Hey, Bill, thanks. Good question. Yes, the tariffs that were announced, that were supposed to take effect, I think February 1 were deferred 30 days. We'll see if they come into effect. The headline number for tariffs was 25%. For critical minerals, the number would be 10% and the tariff would be paid by the importer, which would be an American customer. So, we obviously have one American customer, they would be liable for those tariffs. I think in the overall scheme of things and we've talked to them about that, in the overall scheme of things at these price levels, a 10% tariff may or may not impact their decision making, if it were to come to pass. That's a customer with global operations who could take the material and divert it elsewhere if they wanted to, to avoid them. But -- and we've shipped to that customer in other locations before. So that could happen if they chose to do that. For broader joint venture shipments and for shipments we make through trading companies or to our other international customer, none of that goes to the U.S, so the tariffs wouldn't apply.
Bill Peterson: Yes. Thanks for that, Keith. And you and I have discussed sort of supply demand over the past few years and it still appears to be a challenge based off of market environment. I guess based off your own experience and taking into account prior curtailments, maybe some project delays, what is your expectations around supply demand for this year and over the next few years? And I guess underlying that too, especially from a U.S. perspective, is expectations around policy support, maybe assuming 30B tax credits may or may not still remain and maybe the Company is also working on that behind the scenes as well?
Keith Phillips: Yes, again, good question. I would say, our crystal ball is as cloudy as other people's. I think in the near term, I don't have any particularly aggressive expectations for 2025. I do think lithium remains a very young industry. I think we're probably in the second or third inning of the evolution of this business over the next 20 or 30 years, and I think it will remain volatile. I will say, I've now been in the industry eight years and I joined in a bull market. We went through a difficult bear market that had a fantastic bull market and we're in the middle here, hopefully the tail end of the difficult bear market. Nobody really projected any of these developments. I fully expect there will be another rip-roaring bull market here at some point. And it will be -- it will catch everybody by surprise and I don't know exactly what will cause it. It might be energy storage demand like we talked about in the call, it could be other things. So, I am medium- and long-term bullish, but I do expect the industry remains volatile. We're not counting -- we do our internal cash flow budgeting on spot price basis. So, we're counting on, we're planning for a challenging 2025 and hoping to be pleasantly surprised. In terms of policy support, I think it's a mixed bag. I think the 30B credits may disappear, maybe even will likely disappear. I really don't see that as that big an issue. I think the U.S. market continues to be relatively small EV market today. I think the solution for the EV market in the U.S. is people continue to bring on new vehicles that are interesting to the market, which every year new vehicles come on. We've gone from, really one or two cars, people might buy five or six years ago, Tesla Model S and Model 3 and now we've got multiple vehicles. I think that will help. But in terms of the global, the commodity is priced on a global basis, China continues to grow with a fantastic rate. And again, energy storage is becoming a really important part of the story. We have some analysts projecting it will be over 30% of total demand by 2030. That's up from maybe 2% or 3% or 4% in people's minds a few years ago. So that's a real pleasant surprise. So long term bullish, medium term, short term, uncertain. I should add though on kind of policy. I think Trump will pound the table really hard on this whole kind of national energy security theme. And I think that could very well include support we can't anticipate yet for projects like Carolina in particular. He's clearly very focused on U.S.A., and we think that's a good thing for us.
Operator: Your next question comes from the line of Joseph Reagor of ROTH Capital. Please go ahead.
Joseph Reagor: So, I guess first thing, do you have like an update on timing of when you guys expect the merger to complete and what's left for hurdles to get there?
Keith Phillips: Yes. In the release, I think we said mid-2025, it's really going to be SEC determinant. We should be filing -- we hope to file our and Sayona hopes to file initial SEC documents in the next few weeks. That process is somewhat predictable, but it could be faster or slower. So, if you think mid-year and you think June, July timeframe, I think that's a reasonable way to think about it. I think biggest hurdle is always the SEC and their review -- pro forma is their review of Sayona, will be registering with the SEC for the first time. So just like in say an IPO there, it will be a review of their initial financial information. I think the other hurdles, I think are reasonably we would feel good about. Investment Canada, which reviews transactions from a Canadian perspective, didn't have any comments. So, we've kind of passed that hurdle. [Indiscernible] review we filed, we're optimistic this deal doesn't present any [Indiscernible] issues or [Indiscernible] the Company together will be bigger, stronger, but it's still going to be a modest player in the overall market. So, I don't anticipate any hard Scott or antitrust issues. So -- and then, we'll each need shareholder votes, which we're optimistic we'll get. We think it's a great deal for shareholders of both companies. So, no reason to believe we'll have a problem with that. But, yes, for planning purposes and ultimately the real question will be, does it close in with Sayona as the surviving company? Does it close in their fiscal 2025? Or is it close in July as it's their fiscal 2026? And we will have better visibility on that after the first SEC comments.
Joseph Reagor: Okay. Thanks. That was great color. And then one other question, and you may not be able to comment on this. There was some media speculation around the permitting and advancement of your partner in Ghana. Do you have any comment on it or can you give any additional color more than what they did?
Keith Phillips: Yes. I think they were in Davao last week or the week before and there was just it's a big conference. There's a lot of people with a lot of commentary about this and that, different projects around the world and around Africa. I don't attribute -- I don't think it's any more serious than that. I think the Atlanta team is doing a good job advancing that process. There was a federal election in Ghana in December. The party that's now in leadership is perceived by Atlantic to be even more friendly toward development of critical minerals mining. So, I think that's positive. So, I think we'll make good progress this year. Obviously, we're in a market where -- and this is from a medium- and longer-term perspective, I think bullish, we're in a market where spodumene prices and hydroxide and carbonate prices are at a level where it's hard to really support new investment in any project anywhere. So even in Ghana, even with Ewoyaa, which is a great project, relatively low CapEx, relatively low OpEx, it's hard to justify an investment here right now. That will change. I have 100% certainty that will change at some point. But it just means we're not in as big a hurry as we might otherwise have been in Ghana or in Carolina or the project or Sayona with a project like [Mobile In]. We certainly take the long lead items like permitting, advance and you can check those boxes and take away those obstacles, but we're comfortable with timeline in Ghana.
Joseph Reagor: Okay, thanks. Very helpful. I’ll turn it over.
Keith Phillips: Excellent, thanks, Joe.
Operator: Your next question comes from the line of Noel Parks of Tuohy Brothers. Please go ahead.
Noel Parks: I was wondering if you could talk a little bit from your perspective on the sort of the, I guess, industry's various projects in Quebec. And just if you think sort of third party or regional partnerships around processing are something that could be served on the near horizon or in the longer term? And do you see those being a material part of the sort of business model as Sayona expands possibly into mobile?
Keith Phillips: That's a great question. When we were putting NAL back into production kind of over the 2022, '23 timeframe, spodumene markets were very strong. People weren't particularly focused on transportation costs. In a market like today, transportation costs mean a lot. If you have a remote mine, NAL is not remote, but every other most other assets in Quebec are. Just getting material to the market is an expensive part of the process. So, first you have to get to a port, whether it's Quebec City that we use or Montreal or Baker cooler somewhere else. Then you have to get to a customer, most of the customers as you know are right now in China. So, it's an expensive part of the process. So, that means so a couple of hot things I'd highlight. Number one, there are a lot of spodumene projects in Quebec. Some of them have and some of them many really good companies, good people and some really interesting war bodies. Many of them are very remote. CapEx will be high, labor costs will be high, infrastructure to get to the market will be very challenging and that we think expensive. So, we're very happy that we think NAL is by far the best located project in Quebec from a spot-welding perspective And of the James Bay North projects, we think [Mobile In] is by far the best located. So, we're very excited about that. That will mean and if you think about projects, we think NAL brownfield expansion is particularly exciting. The infrastructure is already there. We're 40 miles from Val-d'Or. CapEx per ton just should be lower to expand that rather than build a greenfield project somewhere else. So, we're excited about that. Having said all that, NAL could benefit, [Mobile In] could benefit, the North American spodumene market could benefit from having more conversion locally. It would mean it would provide a meaningful opportunity to save on transport costs and improve margins. If you just imagine the cost say $100 a ton to take material from Quebec to China depending on how big the shipment is and everything else, that's a business where people are breaking even that makes a big difference. So, we're cheering for people to develop that. The only chemical plant being built in Quebec right now is the Arcadium plant at Rio Tinto, will inherit in Bays Concours. Forget the size of that, I want to say it's 32,000 tons a year, something like that. Quebec is going to need a lot more capacity. I think as Sayona has said and as we've said, as far as Quebec goes, our strategy is to really ideally partner with other parties who are bigger and stronger and have the technical capability to execute on that basis, where we can be the miner and provide the spodumene and make the margin there and potentially participate in some way in the downstream of Quebec. But it would be wonderful if that happened. I think I could definitely see someone like Rio Tinto if the Arcadium plant goes well and they concord sort of doubling down and really trying to gather up spodumene from multiple sources in Quebec. That'd be good for Quebec, it'd be good for the industry, it'd be good for certainly be good for us.
Operator: Your next question comes from the line of Greg Jones of BMO. Please go ahead.
Greg Jones: Hi, Keith. Good morning. Good morning, Michael. Just wanted to follow up on a prior question regarding Ewoyaa, please. If the ratification occurs during 2025, how do you envision the project development timeline advancing from here? I heard your comments regarding the current market environment. If you were in the situation where you get the permit, would you advance as quickly as possible? Would you slow it down? How do you think about moving the project forward and potential start updates?
Keith Phillips: Yes, good question and I'll give you, our perspective. And I think it's shared by Atlantic, our partner. I think it's also shared by Sayona, our merger partner. And I think by the time this is a decision that ultimately will be made by what we call MergeCo. We'll have a new name to the Company soon enough. But -- so, it's something it's a topic of conversation. I think it's fair to say everyone has a view that spodumene $800 or $900 a year is not the time to go build a new mine. If we were Rio Tinto and we're funded that way, you could take a view that you invest countercyclically and you invest at the trough. But to do so would be really highly dilutive to us, would be highly dilutive to Atlantic. We just don't think it would be the right time to do it. We are engaging in conversations with different debt funding sources for the project on a joint basis. Those could be international finance organizations like the DFC in Washington or others commercial banking organizations. That's a development that will take time. So, I suspect 2025 will be a year where we wrap up all the permitting ratification and from that perspective, we're ready to go. And then, we really refine the funding and put in place that funding to minimize the equity dilution to any participant, but to put the Company put the asset on its strongest footing. And then once that's done, the question is, does the board approve do either any of the boards or do all the boards approve funding the project when at a spot price basis the IRRs would probably not meet your hurdle? So, this is a question that everybody with a project has not to deal with. And I think the answer is there are going to be very few projects that I'd say $900 spodumene, pass that hurdle test from a board perspective. That will change because spodumene prices are going to have to go up because no one's going to be building in this environment. I mean, there may be some brownfield expansions here or there, but we think it's or I say nobody, few people will be building in this environment. So, it's too early to tell, Greg, we still have these steps to go through. But my guess is we'll be waiting for a stronger market.
Operator: That concludes our Q&A session. I will now turn the conference back over to John Koslow for closing remarks.
John Koslow: Thank you, operator. That concludes today's call. Thank you for joining this morning. As a reminder, a copy of our earnings release, presentation, and a replay of this call are available on our website at piedmontlithium.com. Thanks everybody.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.